Operator: Good afternoon, ladies and gentlemen, and welcome to Sprout Social’s First Quarter 2022 Earnings Conference Call. At this time all participants are in a listen-only mode and please be advised that this call is being recorded. After the speakers’ prepared remarks, there will be a question-and-answer session. [Operator Instructions] And now I’d like to turn the call over to Mr. Jason Rechel, Vice President of Investor Relations and Corporate Development. Please go ahead.
Jason Rechel: Thank you, operator. Welcome to Sprout Social’s first quarter 2022 earnings call. We’ll be discussing the results announced in our press release issued after market closed today and have also released an updated investor presentation, which can be found on our website. With me are Sprout Social’s CEO, Justyn Howard; CFO, Joe Del Preto; and President, Ryan Barretto. Today’s call will contain forward-looking statements, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include, among others, statements concerning financial and business trends, our expected future business and financial performance and financial condition, performance against our multiyear financial framework, our market size and opportunity, our plans and objectives for future operations, growth initiatives or strategies, and our guidance for the second quarter of 2022 and the full year 2022. And can be identified by words such as expect, anticipate, intend, plan, believe, seek or will. These statements reflect our views as of today only, should not be relied upon as representing our views at any subsequent date, and we do not undertake any duty to update these statements. Forward-looking statements address matters that are subject to risks and uncertainties that could cause actual results to differ materially. For a discussion of the risks and other important factors that could affect our actual results, please refer to our annual report on Form 10-K for the fiscal year ended December 31, 2021, filed with the Securities and Exchange Commission, as well as any future quarterly and current reports that we file with the SEC. During the call, we’ll discuss non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. Definitions of these non-GAAP financial measures along with reconciliations to the most directly comparable GAAP financial measures are included in our earnings press release, which has been furnished to the SEC and is available on our website at investors.sproutsocial.com. With that, let me turn the call over to Justyn. Justyn?
Justyn Howard: Thank you, Jason, and good afternoon, everyone. Thank you for joining us. 2022 is off to a great start and is shaping up to be a transformative year for our company. Our teams continue to execute at a high level. Our product road map is unlocking new ways for our customers to realize the full potential of social and our new partnerships are accelerating our path towards industry leadership. We appreciate your ongoing support and guidance as we capitalize on this massive opportunity in front of us. Since we recently spoke with you in February, I’m planning to leave a few highlights today before turning the call over to Ryan and Joe. We’re pleased to again deliver greater than 40% year-over-year revenue growth with efficiency again hitting the Rule of 50 benchmark. Our opportunity continues to be fundamentally driven by the mission-critical importance of social media management, our disruptive, efficient go-to-market strategy, and the differentiation of our platform. Our execution this quarter was strong. Our product pipeline, partnership momentum and go-to-market execution continue to be highlights. With further Q1 momentum in the number of customers contributing more than $10,000 in ARR, up 52% year-over-year and an acceleration in our number of customers contributing more than $50,000 in ARR, up 97% year-over-year, we believe we have the opportunity to elevate this performance in the quarters to come. This is particularly encouraging because nearly 700 customers, our $50,000 customer cohort is already growing at a faster pace than our $10,000 customer cohort had been growing at a similar scale. We feel this underscores the magnitude of our ACV opportunity and the upside impact that partnerships have in the opportunity to contribute. We believe our strategy and execution are allowing us to pull away from the market, and we plan to further accelerate our industry leadership and social system of record intelligence at action. The free cash flow inflection in our business is a validation of this as customers are making increasingly strategic commitments to Sprout, and we’re able to deliver incrementally capital-efficient returns on our investments. While we remain prudent in acknowledging that many geopolitical and external factors face the world today, the underlying fundamental strength of our business puts us in a fortunate position to raise both our growth and margin expectations for the year. Last quarter, we outlined an aggressive R&D plan for 2022 with an ambitious product road map that we believe positions Sprout to define our category. Our announced partnership with Salesforce in March was an incredible validation of our technology, our market leadership and our approach to customer success. It also represents a multiyear revenue opportunity. But it’s our technology road map that we believe will deliver value to our customers and position our company to maximize our long-term potential. The innovation we are building for customers today and the road map we expect to deliver has never been more exciting. Our strategic platform investments in social commerce, messaging, publishing and reporting are foundational to the ways our customers execute their social strategy. Our road map in social customer care has been prioritized, and we’re on track for significant advancements this year in social listening, analytics and advocacy. Building on our product leadership, our partner momentum has also never been greater, and you should expect new announcements from us in Q2 to further expand our footprint. We are working on powerful, elegant integrations with new partners and have multiple opportunities to go deeper in commerce, messaging and listening, with both new and existing partners. Our work here aligns well to both our product road map and the competitive moats that are strengthening around Sprout as we grow. The combination of our customer scale, our fully unified social media management platform, and the breadth and depth of our network and partner integrations are significant and compounding competitive advantages. We believe we have a true and unique opportunity to find this category as an overall platform and in each key product area. But this has not made possible without the incredible work and commitment from our teams. We’re actively working to make Sprout a career destination across disciplines and to redefine the way that we work. I’ve never been more excited about our team, including our lead talent and leadership we’ve onboarded recently that we expect will help us achieve our ambitious growth goals over the many years to come. Through the midst of the largest workplace shift of our generation, our commitment to people, development and an inclusive culture positions us to remain thoughtful and intentional with our growth strategy. We’re still just getting warmed up, and we’re excited to create value for all of our stakeholders in 2022 and beyond. With that, I’ll turn the call over to Ryan.
Ryan Barretto: Thanks, Justyn. I agree. 2022 is shaping up to be a transformative year for our company. Our product road map is both accelerating and delivering new opportunities for growth. Our international expansion is building momentum. Our pace of hiring has shifted into a higher gear, and we have more upside on our mid-market and enterprise pipeline stemming from our partner announcements. I’ve never been this excited about our opportunity, as our efforts across the company are converging at the right time with a market that is quickly shifting in our direction. We expect to capitalize and we aspire to emerge from this year as a category-defining company. Our marketing team got off to a fast start with strong top of funnel growth, setting our sales team up for success. We continue to target the most sophisticated buyers, building on our foundation with better account-based marketing and new co-marketing and co-selling notions with Salesforce and other partners. We launched our Sprout Community to customers this quarter, which establishes the first of its kind community for social practitioners to build relationships and share ideas and best practices. We already have thousands of customers engaging. Agency owner, [indiscernible], described it this way, the community that Sprout Social has created for agencies and freelancers alike is one of the most priceless things I found in my 10-plus years as a social media manager. If I encounter a problem I’ve never seen and can’t find the answers I’m looking for, I know that I can always reach the Sprout Community and crowdsource solutions from people all over the world. In addition to other social media professionals, the team at Sprout is always there to try and find a resource or an answer as well. Because our market and customer use cases are dynamic and evolving rapidly, there is an enormous opportunity with community and an enormous opportunity for our software to solve increasingly strategic problems for customers. The emergence of new innovative social media platforms also creates complexity for brands across use cases, driving further urgency to consolidate social media management into a platform like Sprout. PR is a new use case we’ve been talking about and our customer HashiCorp covered it well. We realized a lot of value with social listening and wanted to expand our usage of Sprout Social, said Martin Birdman, Public Relations Manager at HashiCorp, a leader in multi-cloud infrastructure automation software. We added a broader set of listening topics and expanded the company, industry and partner insights we monitor, which helps teams across the company understand the conversations happening on social media. As Martin alluded to, Social has become a team sport and we believe we’re the software best equipped to help these teams win. The elegance and ease of use of Sprout are step one, our collaboration, permissioning and workflow capabilities are step two. A new customer this quarter, L.L.Bean really put this thesis to work. We are excited to streamline social efficiency and improved collaboration across our team by partnering with Sprout said Mallory Brooke, the manager of social media and influencer marketing at L.L.Bean. In researching social platforms, we found that Sprout outperformed others by offering a comprehensive suite of solutions within one platform. The usability of the platform, collaboration capabilities and sophisticated reporting, ensure that our teams are able to maximize and grow our investment in Social and share our successes with our leadership team. This quarter, we also had the opportunity to partner with PLAD, a financial technology platform powering the largest names in fintech. PLAD has been managing social natively and manually monitoring all social profiles, which was becoming cumbersome for their comms, marketing and support teams. PLAD chose to work with Sprout to improve social listening, incorporate better analytics into their program, and to increase the speed and engagement with their customers. The investments we’re making in product and customer success are designed to meet all these business needs head on and provide customers with a holistic social strategy. Our partnership with Salesforce means we’re going deeper, enabling enhanced integration and workflows with service cloud and sales cloud to deliver more value to our shared customers. It’s become clear that both Salesforce and its customers in need and want and industry-leading social platform and we’re are working closely together to ensure that Sprout reinforces the value of the entire Salesforce tech stack while offering even more differentiated functionality. And you can see Sprout delivering immense value when you look at the brands that we grew with this quarter, a few notable brands on this list included IBM Watson Health, U.S. Department of Labor, Cruise LLC a subsidiary of General Motors, Radisson Hospitality, Danaher, ServiceMaster, Pure Storage, Denver, Palo Alto Networks, Extra Space Storage, and longtime customer Trek Bikes, even as our SMB, and agency teams executed well this quarter, our mid-market and enterprise teams continue to deliver outstanding new business performance. And what is typically a seasonally slower enterprise quarter? This is evidenced by the fact that we accelerated the growth rate of our greater than 50K customer cohort. The combination of increasing use cases, expanding seat counts, rising premium module attach rates and the steady drumbeat of upmarket expansion and now with the exciting edition of our Salesforce partnership are all combined to put a sizable ACV growth opportunity in front of us. We’re off to a strong start and we’re only getting stronger as 2022 unfolds. Our market is dynamic and quickly growing. Our product roadmap positions customers to unlock tremendous potential. Our team continues to up level at every position as we scale. And we believe our partnership momentum will be additive to our future success. We’re building Sprout to be a world class place to build and grow your career and a world class place to be a customer. And we believe the foundation is in place for a defining year in our journey with the right team, the right product, and a huge market to capitalize on the opportunity. With that, I will turn it over to Joe to run through the financials. Joe?
Joe Del Preto: Thanks, Ryan. I’ll now walk you through our first quarter results in detail before moving on to guidance for the second quarter and full year 2022. We again delivered greater than 40% year-over-year revenue growth with efficiency hitting the Rule of 50 benchmark. Revenue for the first quarter was $57.4 million representing 41% year-over-year growth. ARR exiting Q1 was $239.1 million, up 39% year-over-year. We’re pleased to see very healthy new business, as well as strong retention and expansion activity. We’re particularly pleased that the two-year stack growth rate of ARR accelerated for the fifth consecutive quarter. We expect this trend will continue as we grow faster at scale, underscoring the durability of our multi-year growth expectations. We added 1,038 net new customers in Q1 to finish the quarter with 32,800 customers up 70% year-over-year. As always, we remained focused on high-quality revenue yield from our new customer cohorts, not the volume of net additions. Our inbound demand has continued to strengthen in 2022, now complement with an increase in enterprise pipeline from our recent partner announcements. We plan to continue optimizing for revenue yield while also deliver a healthy quarterly customer net additions for the foreseeable future. The number of customers contributing more than $10,000 in ARR the 5,349 up 52% from a year ago. The number of customers contribute more than $50,000 in ARR the 692, up 97% from a year ago. I want to emphasize a point Justyn made our 50K customer cohort is currently going faster than our 10K customer cohort did a similar volume of customers. Underscoring the significance of our future ACV opportunity. Q1 ACV growth of 19% year-over-year built on the rapid growth that we delivered in 2021, we have many factors that we expect will allow us to sustain durable medium-term ACV growth. In discussing the remainder of the income statement, please note that unless otherwise stated all references to our expenses, operating results and share count on a non-GAAP basis to exclude stock-based compensation expense. Now reconciled to our GAAP results in earnings press release that was just issued before this call. In Q1, gross profit was $43.9 million representing gross margin of 76.4%. This is up 40 basis points compared to gross margin of 76.0% a year ago, and is our highest gross margin in five years, as we scale into meaningful investments we have made in customer onboarding. Sales and marketing expenses for Q1 were $21.4 million or 37% of revenue, down from 40% a year ago. We further accelerate our pace of hiring across both our sales and marketing teams with an emphasis on content, SEO and international expansion on the marketing side. In our mid-market enterprise and growth sales team, we were fortunate to hire aggressive throughout the quarter. Research and development expenses for Q1 were $11.3 million or 20% of revenue up from 19% a year ago. Our headcount and absolute expense again grew substantially this quarter, as we continue the trajectory of our largest ever incremental dollar investment in R&D. We believe this will extend our market leadership further differentiate ourselves in the market and position Sprout as a category of finding software company. General administrative expenses for Q1 were $12.4 million or 22% of revenue, down from 23% a year ago. We expect our G&A expenses to increase in 2022, as we enter a more normalized spending environment, but to decrease as a percentage of revenue. Non-GAAP operating loss for Q1 was $1.2 million or negative 2.1% operating margin. This is an improvement of 360 basis points compared with a negative 5.7% operating margin a year ago. We are pleased with improving efficiency as we scale, and we exceeded our expectations due to revenue outperformance. Non-GAAP net loss for Q1 was $1.4 million for net loss of $0.03 per share, based on 54.3 million weighted average shares of common stock outstanding been to a net loss of $2.5 million and $0.05 per share a year ago. Turning to the balance sheet and cash flow statement. We had a Q1 with $180.8 million in cash, cash equivalents and marketable securities from $176.9 million at the end of Q4 2021. Deferred revenue at the end of the quarter was $76.7 million a strong sequential increase even after the record sequential increase we delivered the seasonally strong Q4. As we know our last quarter, we do think that our business is becoming more seasonal over time as our mix of enterprise changes, the high watermark expected each Q4 all by a low watermark in Q1 of each year. Looking both our billed and unbilled contracts, our remaining performance obligations, or RPO was approximately 115.9 million, up from 107.8 million as in Q4 2021 and up 55% year-over-year. We expect to recognize approximately 83% or 96.8 million of total RPO as revenue over the next 12 months. Operating cash flow in Q1 was positive $5.4 million compared to $3.6 million a year ago. Free cash flow was positive $5.1 million up 48% year-over-year or positive 9% free cash flow margin here with an 8% free cash flow margin a year ago. Before get into formal guidance, I do want to clarify the quarterly cadence to operating expense and profitability as we tighten our plan this year. Based on the timing of annual corporate expenses and the timing of hiring, we anticipate that Q2 will represent the low watermark for margins, operating profitability and free cash flow. As indicated in the increase in our 2022 margin goals, we’re pleased that annual efficiency is progressing ahead of our prior plan. Shifting to formal guidance, for the second quarter of fiscal 2022, we expect revenue in the range of $60.2 million to $60.3 million or growth rate of 35%. We expect non-GAAP operating loss in the range of $3.2 million to $3.0 million. This represents an anticipated operating margin of negative 5.1%. We expect a non-GAAP net loss per share approximately $0.06, assuming approximately 54.4 million weighted average basic shares of common stock outstanding. For the full fiscal 2022, we now expect total revenue in the range of $252 million to $253 million. This an expected overall reported growth rate of 34% to 35%, up from our prior expected growth rate of 33% and tracking well against our medium-term goals. For 2022, we now expect non-GAAP operating loss in a range of $6.4 million to $5.8 million. This implies annual non-GAAP GE operating margin expansion up roughly 90 basis points to 110 basis points up from a prior margin expansion range of 40 basis points to a 100 basis points. We’re pleased to forecast faster revenue growth with improved efficiency even as we make growth investments across the company. We expect a non-GAAP net loss per share between $0.13 and $0.12 assuming approximately 55 million weighted average basic shares of common stock outstanding. In summary, our Q1 financial performance highlights the rising strategic emphasis, our customers are placing on social, our balance sheet and free cash flow strength by us with future optionality, inbound demand is robust and our pipeline up market is unlike anything we previously experienced. These strengths empower us to make investments in technology and go-to-market, which we believe positions Sprout to define our category, and forge leadership in the $100 billion market opportunity ahead. With that, Justyn, Ryan are happy to take any of your questions. Operator?
Operator: Thank you. [Operator Instructions] We’ll go first this afternoon to Raimo Lenschow at Barclays.
Raimo Lenschow: Hey, congrats from me. Two quick questions. One is the partnership or the announcement with Salesforce stood out to me because that that’s something that is kind of seems kind of odd that a vendor that is in that space is kind of announcing that with you. Can you speak to that please in terms of how that came together and what it entailed and what the opportunity is there? It’s a question one. Question two would be on large – last quarter, we talked a lot about like the success you have up market any more updates on that one. Thank you.
Ryan Barretto: Hey Raimo. Thanks for question. It’s Ryan here. On the first part with Salesforce, we’ve had a longstanding partnership with them from an integration standpoint. We’ve worked with Salesforce customers for years and years, and as the market’s progressed over time, I think they’ve taken note of just the work that Sprout’s been doing in the marketplace and seeing a lot of their CRM customers leveraging the Sprout platform. And as I think as they started to think about their investments and their strategy going forward realized that we are also a – just a great resource for them and their customer base, as it relates to just best of breed social solutions. And so this is something that you don’t typically see in the market, but we’re adding tremendous value together to these customers. And so we’ve had these integrations that existed today with Sales Cloud and Slack and Service Cloud, and we see additional opportunities to go deeper into those integrations to add even more value to Salesforce customers reinforcing just the value of the CRM stack on top of the work that they’re doing in social. And we announced the partnership in early March. So not that much time in the quarter, but has seen some really great progress in terms of the interactions across our teams, as well as the co-selling that’s happening with customers today and great feedback from those customers that have interacted with both of our teams and transitioned over. So more to follow from us there, I think in future quarters, but feeling pretty good about that partnership and the opportunity in front of us. From a large customer perspective, we continue to see a lot of growth. I think the number, hopefully, they jumped off the page for everybody is just the 50k growth being at a 97% growth rate. We continue to see just a great fit for customers that are in that mid-market and enterprise space. We they’re consuming a number of our products and seeing tremendous value. I think they’re finding real differentiation in our go-to-market strategy with the way that we’re getting into the product before they sign a contract or pay us any money. And the speed to implementation, the speed to ROI has been tremendous for them as well in terms of the value that they’re getting right away. So continued execution happening there. And as Justyn mentioned in the prepared remarks, our innovation coming on the roadmap, and some of the more sophisticated things that we’re going to continue to build in, we’ll just continue to increase our differentiation up market.
Raimo Lenschow: Okay. Perfect. Makes sense. Congratulations.
Ryan Barretto: Thank you.
Operator: Thank you. We go next now to Elizabeth Porter at Morgan Stanley.
Elizabeth Porter: Hi, thanks so much and congrats on the quarter. I wanted to touch on what you’re seeing in the broader just demand environment. The upside in the quarter in the full year suggests good momentum, but just appreciate any incremental color you have on, any changes in top of funnel engagement is sales cycles or demand trends by geo. Thanks.
Ryan Barretto: Yes, I appreciate the question. It’s been pretty consistent for us, and I think that’s been just one of the hallmarks of our business with the inbound notion that we’re running now complimented with the outbound notion. We’ve seen great consistency and we have a lot of data to tell us where that business is. And our top of funnel has been really healthy. We continue to be running a lot of campaigns and focused ABM efforts and outbound strategies against our mid-market and enterprise space. I think for us also what this comes down to is just social is mission critical for the companies that we work with. And for them, they know that they need to participate within this arena. And the Sprout platform has just proven to be something that is compelling for them in their own go to market strategies and the way that they’re interacting with customers. So we certainly like everybody else are reading the headlines and seeing what’s happening in the macro environment, but we’re seeing a lot of progress and success in our own business and a lot of consistency coming into Q1 and going into Q2.
Elizabeth Porter: That’s great. And then just as a follow-up, I was hoping to get an update on the premium module attach rates. And more specifically, curious if that just macro uncertainty and environment does that drive customers to look for tools like listening that much more just to get a pulse on the customer. Thanks.
Justyn Howard: Yes, this is Justyn. I’ll touch on the second half of that question. And then maybe Joe can jump in on the first. I definitely think that there is some strategic drivers as things, whether it’s macro conditions or refocusing efforts across various platforms or shifting advertising focus, whatever it might be where the value of just making better business decisions, having greater visibility across the business, having greater visibility across the landscape, et cetera, becomes another lever that these folks can pull, right. And being able to drive that kind of progress within their own businesses through the efficiency of social ends up being a really compelling aspect of that. So I think that there is some opportunistic investment here happening, where other avenues may not be as successful at the moment. So let’s lean further into social. But then as Ryan mentioned, there’s just a tailwind of more and more organizations just hitting a level of maturity where social is such an important part of their strategic efforts across the board. So we see kind of a mix of that and it’s kind of all weather scenario, right? When things are booming, social’s the place to be when there’s uncertainty, social’s to place to be. And we’re there for the customers in either environment.
Joe Del Preto: Yes. Then on the attach rates Elizabeth, so we don’t disclose the actual number each quarter. What I can tell you is we saw solid momentum in this area in Q2, and they continue to rise on a quarter-over-quarter basis. And we’re in that mid to high teens kind of range as it relates to attach rates.
Elizabeth Porter: Great. Thank you so much.
Operator: Thank you. We go next now to Scott Berg at Needham.
John Godin: Great. Thank you. This is John Godin on for Scott Berg. Appreciate taking my questions. First just kind of at a high level when considering the Salesforce partnership and their history and the space, as well as your commentary around your deal with Plaid, which has been managing natively previously. Just wondering if you guys are really seeing maybe inflection point in the broader realization, kind of the complex nature and requirements of managing a social strategy. In addition do you think – in addition to the functionality you think that customers are really placing more value on your guys’ quick time of value in ease of use relative to some of the other competitors in this space. Thank you.
Ryan Barretto: Yes, I appreciate the question. So a couple things, one, when I think about the Plaid example, what a great organization doing some pretty amazing things. And I think we are still seeing this across the board, and we’ve mentioned this previously, but we think that we’re really early in the space, when we look at the number of businesses that are on social and the amount that have adopted a solution like Sprout. Plaid is a great example, really forward thinking company doing more and more on social realizing that it needs to be the tip of the spear in terms of their strategy and needing to invest in a solution that was going to allow them to be able to do this in a more efficient manner, in a way that they could collaborate with their entire organization and get more sophisticated data back. And so we see this quite often in our business, where fantastic brands really developed organizations are still earlier days in terms of their investment strategy. And this really ties to the second part of your question, which is time to value, ease of use, elegance within the product on top of great sophistication matters a lot. And so when we walk into every account and say, we want you to get into the product, we want your hands on the keyboard. We want you in the trial, making sure that this is going to work perfectly for you. You start to see as a customer right away the value, you start to implement some of your business processes in the trial. And then from there, it is really easy to turn you on and go live. And so still today over 90% of our revenue comes from customers that have actually been in the product before they’ve purchased. So I think both of those things are just really important for us here in the market and very differentiated.
Justyn Howard: And I’ll quickly add to the second point that you made around the time to value and ease of use. It’s logical when we think about how rapidly social is expanding across an organization, both in terms of the number of people who are participating on behalf of the organization, the number of departments involved, the number of use cases involved that ease of use that time to value that rapid learning curve, those are all huge advantages, right? Because we’ve got large pockets of people across the organization that need to be up and running and successful with this platform and the approach that we’ve taken to how we build, and the emphasis that we’ve put on user experience is really critical in those scenarios, because we have to ultimately have the people behind the keyboard be successful and that plays right into the strategy that we’ve had from day one. So I think that that’s a powerful advantage there to your point.
John Godin: Awesome. And then second, you touched on it briefly, but just curious if you could dig into a little bit more how you are seeing any of your customers broader data strategy. Data strategy, you evolved, and really you’re seeing more tighter integration, I guess, with kind of the broader overall engagement back. Thank you.
Justyn Howard: Yes. I would say that we’re definitely at a time now, where at least some of the more – some of the customers that are further along in the social journey that are more mature in operationalizing Social across the organization are definitely starting to lean more into those areas and look for how can we develop a tighter picture of our customers? How can we get visibility into all of the intelligence coming through listening, et cetera, into a broader set of the things that we care about as of organization. And that’s driving a – is powering the adoption within those organizations to a degree and getting additional use cases involved to a degree that I don’t think was probably as present two years ago as it is today, and the integrations are powering or opening the doors for those types of conversations and strategic decisions with inside the organization. So, we’re hitting a point now where more and more organizations are thinking about it, and taking advantage of it, and starting to really think holistically about their data stack, as it relates to social and what social role is in that.
Ryan Barretto: I would also just quickly add on they’re not specific to integration, but specific to the data strategy. We’re hearing this more and more from our sales team and our customer success team and directly from customers that practitioners, the folks that live in the solution, are now more and more being asked by their executive team to surface data and insights. Sometimes, it’s on a weekly basis or a quarterly basis, but more and more executives are looking to understand the data that exists within social today, the themes, the trends, the sentiment and they’re leveraging that as another really critical data point as they inform their own strategy. That has definitely continued to increase over time.
John Godin: Very helpful. Thanks everyone.
Operator: Thank you. We go next now to Parker Lane at Stifel.
Parker Lane: Yes, hi. Thanks for taking the question. I wanted to circle back on the $50,000 ARR customer cohort. Very strong quarter there. I think the second highest you’ve had and the data that we have. But looking at the last few years, it looks like the fourth quarter was actually the high watermark. What’s the best way to think about seasonality in terms of those $50,000 ARR customers this year? Should we expect that trend that we’ve seen in recent years to continue? Or is there something that we should be aware of as far as that cohort is concerned? Thank you.
Ryan Barretto: Yes. I mean I think – and Justyn kind of covered this a little bit, I think Joe did a little bit in the prepared remarks. As our business has continued to shift increasingly into the mid-market and enterprise, with just the buying cycles of those organizations as well as the size of deals that we’re seeing, I think we’ll continue to see more seasonality pushed into fourth quarter. We’re excited about, obviously, the results that we’ve seen, a 97% growth rate going into Q1 with the $50,000, is a really strong start to the year for us. We expect to have a lot of consistent growth through the year with those $50,000 customers. And one of the data points that sounds fascinating and exciting for our business is that if you look at the $50,000 today, they’re actually growing faster than the $10,000 at a similar scale. So we continue to see a lot of headroom and opportunity for us there. We’ll have some consistency through the year, but I do think that Q4 will be a bigger increase in terms of the volume of customers that are closing in at that size and scale.
Parker Lane: That’s right. And in terms of the cohort again, is there any industry that you’d say it’s overrepresented in there today, may be more receptive to the message of Sprout and media management than others?
Ryan Barretto: One of the distinct advantages of our business and it speaks to the total addressable market is just that we see customers from all industries and verticals that end up in this area. And so certainly, as you might imagine, organizations that might fall into retail or more B2C are going to be there, but we see things in tech, we see government, we see higher ed. So, I wouldn’t say that there’s any concentration within that area, which is just another opportunity that our entire enterprise and mid-market team sees for the future of this company.
Parker Lane: Appreciate the feedback. Thank you.
Operator: Thank you. We go next now to Rob Oliver at Baird.
Rob Oliver: Great. Thanks. Good afternoon guys. I have two questions. Justyn, one for you to start. Obviously, Twitter is in play right now, you guys have traditionally had a very strong relationship with Twitter. There’s just chatter about turnover there and advertisers pausing. So obviously, too early to tell in terms of direct impact for your business, but we’d just love to hear your take to the extent that you can share on what’s happening there and what we might expect? And then I had a quick follow-up for Ryan.
Justyn Howard: Yes, sure. So yes, it’s been interesting, and we’ve built many, many relationships over the years and have had long-standing relationships across product and engineering, go-to-market and the leadership parts of the organization. So the last couple of weeks have been a little busy for them. I think to your point, we’re not anticipating any changes in our relationship. But more broadly, I think that there’s still some questions, right, past the initial headlines on what are some of the directions that we’re going to see Twitter take. And I think baked into that are some really potentially positive and exciting things around just better health from a span perspective, the validation of users, openness of the platform, et cetera. But I think my read is that folks just want to better understand what the plan is and what are going to be the most important things for that organization. And I think there’s going to be a lot of people that are empowered by that. And the – something that’s been fascinating that we’ve seen with Twitter over the many, many years and leadership changes that they’ve had, those people just love the mission. I agree with them, Twitter is such a powerful, powerful part of the – of society at this point. And they’re going to, I think, by and large, want to continue doing that work, but we need to figure out what the go-forward plan is and what the priorities are going to be once and if that deal closes.
Rob Oliver: Got it. Okay. That’s helpful. Thanks a lot. And then, Ryan, I had one for you. You guys called out the HashiCorp [ph] win this quarter on the PR side. And that struck me, you guys have been talking for some time about different use cases and the success you’ve had there. But I think traditionally, that was – has been a different budget from marketing. And so we’d just love to hear about that win. Is that representative of perhaps another pool of dollars that you guys are able to go after as perhaps some of the PR guys start to assess maybe some of the legacy tools they’re using for monitoring what’s out there? Thank you.
Ryan Barretto: Yes. Thanks, Rob. Yes, I mean, we’ve been winning business within this area. I think more and more, we’re just seeing a lot of what was traditionally just happening in PR, happening directly on social. And so there’s things happening in our product today that I think could address a good amount of what those customers need. I think about a lot of the listening components that we have today as well as some of the functionality we’re building in to just better understand your audience. I think it puts us in a really great spot to continue to help organizations, specifically within the PR world. And today, we have a lot of those customers. So, I think that there’s an opportunity to continue to expand our footprint within that area. I’d look at it as an opportunity where we’ll have a chance to grow our market as we grow our product and our road map. But it’s certainly just one of those use cases that has continued to evolve over time that we’re getting excited about.
Rob Oliver: Great. Thanks again. Appreciated guys.
Operator: Thank you. We go next now to DJ Hynes at Canaccord Genuity.
DJ Hynes: Hey guys, nice quarter here. Thanks for taking my questions. So, I wanted to ask just back to the Salesforce partnership. But based on what you’re seeing in terms of the opportunity build there, how would you characterize the average size of opportunity coming through that partnership versus maybe what you typically see in your direct channels? Just trying to think about how they might help contribute to the model.
Ryan Barretto: Yes. So most of the business that we have seen, I think most of the business today is mid-market and enterprise. And so it fits really nicely into our go-to-market strategy, our capacity, where we’re already executing. That’s the biggest part of our business today and the fastest growing. So it’s continuing to align within that realm. It’s still pretty early for us given that the announcement was in March, and the sunset of Salesforce’s product is going to happen over time. But we’re seeing some really positive things in terms of the enablement that’s happening with our teams and the Salesforce marketing cloud teams, as well as the co-selling that’s been happening so far. So, we get really excited about it. We see these opportunities in these deals looking like our mid-market and enterprise with ideally some upside in front of them as well.
DJ Hynes: Yes. Okay. Perfect. And then, Joe, I want to ask about billings, right? I obviously picked up your comments on seasonality, and it makes perfect sense. Can you just remind me the mix of annual, quarterly, monthly invoicing that you have? And maybe how that’s changed over the last year or two as you see more traction in the enterprise?
Joe Del Preto: Yes, for sure. So right now, it’s around 55%, 60% annual invoicing and then the rest is pretty much monthly. We do very little, if some, quarterly, but not a lot. And so that’s kind of the mix right now, DJ. And what I can say is that continues to move more to annual deals, right? And as Ryan mentioned earlier, the mid-market enterprise are – have been the strongest in Q4. We’re seeing a little bit more seasonality and so I think what you’re going to see is, you’re going to see more of that increased billings in Q4. You saw that the outcome of that was just really strong free cash flow in Q1. And so I think you can expect a similar type trend year-over-year. And we’ve talked about this before, because of that mix between the quarters, it’s going to bounce around a little bit, and it’s not something that – obviously, we want to move more deals to annual, but it’s not going to be something that’s going to be consistent just given the mix.
DJ Hynes: Yes, of course. Okay. Thank you guys.
Operator: Thank you. We go next now to Michael Turits at KeyBanc.
Michael Turits: Hey guys, one macro question, and then back to the financials and seasonality. So, on the macro, are you able to discern any difference between potential impact or not on your different segments SMB versus mid market versus enterprise? I mean, potentially changed back when might worry more about SMB.
Justyn Howard: Yes. This is Justyn. So the answer is no at this point in terms of just discernible difference in behavior. I think, some of the things that we were dealing with in 2020 for example, were more distinct in the SMB. We’re not seeing that effect today and those parts of the market are performing very well. It stands to reason that the SMB would likely be first impacted. We’re just not seeing it show up in the data of the pipeline.
Michael Turits: And then Joe, same question. As DJs, I think on seasonality, but relative to ARR, new ARR, which was strong in the high 30s, but a little less sequential growth in ARR than you’ve been seeing. So is that a matter of seasonality as well?
Joe Del Preto: Yes, that’s exactly right. Michael, I think we’ve seen this, Q1 is typically the smallest quarter from an ARR perspective, if you look at it over the last, couple of years. And so I think you’re going to continue to see Q4 be the high watermark, probably from a net ARR standpoint, and then have the Q1 probably be more of the low watermark as we build throughout the year. So this was as we expected, as you can tell by our guidance, we increased our annual guidance more by our beat. So this was right in line with what we were expecting. So we feel pretty good about the quarter.
Michael Turits: Great. Thanks, Joe. Got it.
Operator: Thank you. We go next now to Arjun Bhatia at William Blair.
Arjun Bhatia: Perfect. Thank you. I want to maybe go back to the large deal flows. I think it was very impressive, especially considering it’s just Q1. But as you get into these $10,000 deals, 50,000 ARR deals and beyond, are you noticing any change in the buyer profile or in sales cycles, as customers are investing more and more in Sprout. And then I’m curious when you view the go-to-market motion up market, does the salesforce partnership impact how much you’re investing in your direct go-to-market motion at all?
Ryan Barretto: Thanks, Arjun. It’s Ryan. I’ll jump in here first. Yes, if I think about just the 10K and the 50K and the dynamics behind them, and what’s maybe changed I would say that we’re – just we’re seeing wider audiences in the conversations that we’re in. One, it’s going deeper in the organization from an executive level. It’s more common that you’re going to see VP level or in some cases, CMOs or CDOs, Chief Digital Officers in the conversations. Certainly, they want to see the data that they’re going to be getting out of a platform like Sprout, but there’s more gravity around the solutions. And that’s been a great opportunity for us. It’s great conversations for us. It’s outside of just the features and the functionality that maybe somebody at a practitioner level would care about most, but it’s getting into what’s the impact on the business? How is this going to help generate growth or improve customer experience or reduce costs? So all of those things have materialized really nicely for us in terms of the opportunities in the larger accounts. We’re getting multi-threaded across the organization, there’s more stakeholders and more departments that are involved, which means more use cases and more users. So that’s been a really nice trend for us. And then if I think about the salesforce piece and the partnership, I mean, one certainly going into any of these accounts from a partnership perspective and selling together is just great validation of Sprout as an organization and Sprout as a platform. So that’s been tremendous for us. We are still selling direct on those deals. So, we feel really good about our capacity plan and the hiring that we’re doing across our teams. And we feel really good that we’re going to have the right amount of folks to be able to manage the opportunity. And as we’ve always done, if we see more opportunity where we think we can generate even bigger returns, we’ll make the investments in those spots. But right now I’m feeling really good about our team and our capacity and the partnership that we have.
Arjun Bhatia: Perfect. That’s very helpful. And actually, I wanted to ask about the partnership strategy as well. I think you called that out a couple times in the prepared remarks of your intentions to invest further in additional partnerships. And I’m curious if where you’re prioritizing on the partnership front, is it go-to-market partnerships with whether it’s resellers or agencies or are we talking about technology partnerships, whether it’s super product integrations for maybe e-commerce or customer care, just trying to get a better sense of where those partnership priorities are?
Ryan Barretto: Yes. As you can imagine, the answer is, is all the above. The increasing our footprint with new what we call network partners, which are the networks themselves and the relationships and the things that we’re building together. The technology partnerships around integrations and some of that comes with some go-to-market motion and investment alongside it. But really thinking about those just from a technology perspective and trying to be where our customers need us to be in terms of integrations. And then just a ton of progress and emphasis across the organization and within Ryan’s organization, particularly around the revenue partnership opportunities and what those look like, where we can add value to pockets of customers for organizations like salesforce and others. So we’ve got all three of those strategies in constant motion.
Arjun Bhatia: Perfect. Very helpful and congrats on a good start of the year guys.
Ryan Barretto: Thank you.
Operator: Thank you. We will go next now to Matt VanVliet at BTIG.
Matt VanVliet: Yes. Good afternoon, guys. Thanks for taking the question. Wanted to look at some of the 50K customers, or maybe even the 10K and just ask question or two around what total market or wallet shares little looking like now. When you go into these 50K opportunities, are you still landing relatively small compared to what the ultimate opportunity is? Or should we think about some of these as customers, a little more ready and willing to take on a bigger part of the platform? And that’s sort of the differentiation point between 10K and 50K in some cases?
Ryan Barretto: Hey, Matt. Thanks for question. Yes, I mean, I would tell you just generally the customers that we’re closing in both the 10K and 50K, feel like they’re early stage in terms of the opportunity. It’s pretty rare for us to close a customer any of those segments where we feel like it’s totally sold through. The big difference, certainly between a 10K and 50K is going to be the number of users. And some of those might just be just how penetrated are we in the organization across departments? So a good 10K deal might just be marketing that we’re in. And it might even just be a portion of the marketing department, not the entire marketing department and may be consuming an add-on product like our listening or analytics. And the same thing with the 50K, it oftentimes in the 50K it might just be one department depending on the size of the organization. And we’ve talked in the past about some of the organizations that have come in at over 50K and it’s just marketing today where we’ve got a huge opportunity that sits behind from a care perspective or going deeper in an organization. So the users tend to be the biggest leverage point for us in terms of being able to grow those accounts. And then we think about the premium add-ons as the icing on top in terms of the opportunity. So I would say just the main headline or takeaway for us is that we’re seeing certainly more gravity around social, right up to the executive level, as we’ve shared a little bit on this call. But even when we’re landing at that rate, I still am seeing a tremendous amount of headroom. And in the last call, we talked about our first million dollar account, and it was a great example over two-period of landing pretty small on something that began really with the trial and then winning many different departments across the organization and significantly growing. And we feel like we’ve got a lot of those potential accounts in our base today.
Justyn Howard: Yes. And maybe just quickly to underline that, I think, one of the things that we’ve seen is social is just a bigger piece than it was two years ago, five years ago, and the starting investment for an organization of scale, within the mid-market enterprise specifically even just that first step of maturity and bringing social into the organization is a broader project. It involves more people than it used to. And so those customers that were landing at 50K are probably at a similar stage of their journey as the customers that came into our funnel at $10,000. But to Ryan’s point, just tons of upside. And typically, for us, the larger the starting investment is actually a better signal of more upside rather than less or the idea that, that account might be penetrated.
Matt VanVliet: All right. Very helpful. And I know there’s only so much time I need to call, but I would love to get any kind of update on social commerce. How are some of the initial tech partnerships with Shopify or Facebook going and some of the early adopter customers? Where are they’re at in terms of usage and just sort of building out that product for the long tail here?
Justyn Howard: Yes. So consistent with kind of the way that we spoke about it the last couple of quarters is social commerce is going to be a long journey, and we’re gladly out in front of it and working with customers and partners on how the shape – space is going to shape up. We’ve seen fantastic traction with the integrations and the capabilities that we’ve built today. We’ve got a team that’s more than one that’s running hard like future sets of capabilities. But I think we’re still – the networks, us, our customers, still feeling out what the ultimate strategy is going to be, what the investments are going to look like, what the nuance of the different networks and different social commerce opportunities are going to be. So the state in now feels like we’re kind of in the trenches learning with our partners, learning with our customers. They’re finding great success with the things we have and we’re really happy with the uptake that we’ve seen there. As we get further along and there’s more product releases to talk about, we may have some more color there, but for today’s date, we’re off to a great start.
Matt VanVliet: All right. Great. Thank you.
Justyn Howard: Okay.
Operator: Thank you. We’ll go next now to Brett Knoblauch at Cantor Fitzgerald.
Brett Knoblauch: Hi, team. Thanks for taking the question. Just maybe one from the competitive landscape dynamic. As you’re looking or moving upmarket to mid and enterprise, can you talk about what’s kind of the main difference between the decisions or what’s driving decisions? Is it pricing? Is it functionality, kind of speed to value? And are the competitive dynamics changing at all in any favor towards you guys? Thank you.
Ryan Barretto: Hey, Brett. Yes, thanks for the question. I would say that the biggest driver in the enterprise and the large organizations, a couple of things. One, for sure, it’s the ability to get the return on investment and speed to value. And so we’re seeing this time and time again, organizations now and Justyn just highlighted it And you heard it a little bit and are prepared remarks, social as a team sport. There’s a lot more people involved today than ever before. And so the products and the platforms that customers want to use need to be intuitive, they need to be elegant. They need to be powerful. And we’re hearing this time and time again that, that is a big driver for customers today, because the business user needs to be empowered to do the things they need to do in real time in the product. And that might be social listening. It might be running reports for analytics. It’s certainly in the way that they’re engaging with customers from a customer care perspective, as if you have more people in the platform, it just needs to work. So that has been a huge differentiator for us. You will hear me say this a lot, the hands on the keyboards and getting people on the product, before they buy is a massive differentiator for us. We’re continuing to get feedback just about our customer success and customer support. We talked a little bit today about the fact that we’ve introduced a new customer community. And that customer community, I’m really excited about. We’ve got thousands of customers engaging in the community today. They are providing best practices to each other. They’re getting moderation from our team in there. They’re getting access to additional resources, but that matters a lot within this space. We’re still so early in this industry where even the practitioners that are in it have not been in it for that long. And so we see our role being driving great education and awareness and best practices for all the things that they could be doing. So that community, that customer success, has been a huge differentiator. And then innovation. Speed to innovation would be the third point that I give you. We have built Sprout organically on one code base. We move incredibly quickly when we introduce new functionality to our customers. And that matters a lot for our customers, because they’re counting on us to be able to do all their Social work. They don’t log into these individual platforms, they log into Sprout to engage with their customers. And I think about Instagram Care Cells as maybe a good example from the quarter. We introduced this new functionality with Instagram Care Cells. We’re 1 of the first companies to put it out in the market. Many of our competitors still don’t have it. And so that’s just – it’s a tactical example, but a very important one for our customers because they’re relying on us to do their work.
Brett Knoblauch: Perfect. Thanks so much. Maybe just one follow-up if you have time. Any update on maybe adding support for TikTok? Is that a 2022 catalyst?
Justyn Howard: No proper update today. Stay tuned.
Brett Knoblauch: Thank you.
Operator: And we’ll take our last question this afternoon from Clarke Jefferies at Piper Sandler.
Clarke Jefferies: Hello and thank you for taking the question. Joe, just – I think we’ve touched on seasonality a couple of times on the call, but I wanted to briefly touch on linearity. Are you seeing even in a Q1 due to these kind of higher volume of larger deals, deals get closed later in the quarter, situations where revenue linearity might be more back-end loaded than it was historically?
Joe Del Preto: Yes. If I think of like the revenue guidance that we gave, I definitely think it’s going to be more back towards the end of the year to your point, Clarke, I think that’s a fair assumption.
Clarke Jefferies: All right. Perfect. And then a follow-up question of, Ryan, you mentioned hiring shifting into a higher gear. Just generally, how is the hiring plan played out year-to-date? Do you find yourself having any difficulty in whether R&D or sales hiring in the regions that you’re looking at?
Ryan Barretto: I’ll start. And then Justyn, if you want to talk about the R&D. Yes, from a sales perspective and a hiring perspective, we really started to, Clarke, I’m feeling very good about our approach to the market. I think one of the things just in the hybrid workforce that we’re running today in the past a few years ago, we were really only pulling from Chicago talent. And then later, it was Seattle and Chicago, and Dublin and now in our hybrid approach, we’ve got folks that are located all over the world. And so that’s giving us access to bigger talent pools, greater talent and we’ve got really good over the last couple of years plus onboarding people in this way and getting them up and running and ramped really quickly. So feeling very good about that. And the last point before I hand it to Justyn there is just culture continues to be a huge differentiator for us. That’s why people end up coming to Sprout and what drives them over here on top of the mission that we have and being an employer of choice is something that we are really focused in on. And so that’s been a nice differentiator for us and a nice tailwind.
Justyn Howard: Yes, I’ll just add, across the organization, the point, Ryan, mentioned have mattered a lot. I think there’s – as an industry, I think the current dialogue is that it’s maybe been a more challenging labor market over the past 12 months. The commitments that we made, so we weren’t sitting on the sidelines. We decided year and half ago, we’re committed to hybrid work. And we got a head start on that, and that’s just been phenomenal in terms of our hiring funnel, the talent, the people that we’re bringing into the organization, and it’s exciting. The – to Ryan’s point, just the pool of the opportunity to work with people, who are in places that might not historically have a lot of opportunity, like there’s just so many positive benefits. And it puts us just in a really – because we’ve got a great platform, great reputation, great culture, et cetera, and we’ve really made clear our go-forward plan around what work is going to look like, I think that’s just been something that’s attracting phenomenal people. And I do onboarding with our new customer cohorts and they’re only getting bigger and bigger. They don’t fit in our Zoom grid anymore.
Clarke Jefferies: Thank you very much.
Operator: Thank you. And at this time, I’d like to turn the call back over to Mr. Howard for any closing comments.
Justyn Howard: Yes. Thank you. Thank you for all the questions. I know we’re maybe a little over on time, so I’ll keep this quick. Thanks for your time. Thanks for the support. Thanks for the conversations throughout the quarter. We look forward to having more of those with you. And thanks as always to our team just doing a knockout job and really proud of the results we’ve delivered this quarter. Thanks, everyone.
Operator: Thank you, Mr. Howard. Ladies and gentlemen, that will conclude Sprout Social’s First Quarter 2022 Earnings Conference Call. We’d like to thank you all so much for joining us and wish you all a great remainder of your day.